Operator: Good day, everyone, and welcome to the Garmin Ltd. First Quarter 2013 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Ms. Kerri Thurston. Please go ahead.
Kerri Thurston: Thank you, and good morning, everyone. We'd like to welcome you to Garmin Ltd.'s First Quarter 2013 Earnings Call. Please note that the earnings press release and related slides are available at Garmin's Investor Relations site on the Internet. An archive of the webcast and related transcript will also be available on our website later today and will be posted through the end of May. This earnings call includes projections and other forward-looking statements regarding Garmin Ltd. and its businesses. Any statements regarding our future financial position, revenues, earnings, market share, product introductions, future demand for our products and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur, and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K for the year ended December 29, 2012 filed with the SEC. Presenting on behalf of Garmin Ltd. this morning are Cliff Pemble, President and CEO; and Kevin Rauckman, Chief Financial Officer and Treasurer. At this time, I'll turn the call over to Cliff.
Clifton A. Pemble: Thank you, Kerri, and good morning, everyone. As we announced earlier this morning, Garmin generated solid margin performance, with revenue growth concentrated in highly profitable segments. While consolidated revenues decreased 4% year-over-year, 2 of our most profitable segments, Aviation and Fitness, posted revenue growth. In total, our traditional market segments of Outdoor, Fitness, Marine and Aviation contributed 52% of the total revenue mix in the quarter. Gross margins improved to 52% from 51% in the prior year. We experienced margin improvement due to the amortization of previously deferred high-margin revenue and the shifting of revenues towards high gross margin segments. Operating margins were 15%, a slight decline from 16% in the prior year, with traditional markets providing 75% of the operating income in the quarter. Kevin will further discuss our financial results in a few minutes. We sold 2.5 million units in the quarter, down 8% year-over-year. Declining PND volumes were partially offset by growth in Fitness, Aviation and Outdoor. Next, I'll walk you through a review of our results segment by segment. Revenue in the Marine segment declined 10%, driven by several factors, including an aging product lineup, unfavorable weather conditions and ongoing economic uncertainty. Unfortunately, we also reported an operating loss in the quarter as gross margin was pressured by discounting of existing products. At the same time, R&D expenses were higher, creating further profitability headwinds. While the first quarter marks 2 consecutive quarters of operating loss in Marine, we are committed to returning this segment to long-term profitability through improved efficiency and with the contribution of new products. One of the most important new products is the GPSMAP 8000 series, which will ship this month. This series of glass helm products offer unparalleled features and design while also providing the ease-of-use that customers expect from Garmin. In Aviation, we posted revenue growth of 10%, with the OEM market contributing to strong gains in the quarter. In particular, we saw growth from new customers and recent certifications and expanding presence in helicopters and the emergence of Hawker Beechcraft from bankruptcy. Revenue growth, along with strong margin performance, in the segment translated to 22% operating income growth for Aviation. During the quarter, we continued to gain market share in the helicopter industry, with Enstrom announcing their selection of our G1000H for their 430B helicopter. Also in the quarter, we expanded our leadership in ADS-B solutions, with the delivery of certified products that meet the requirements of the FAA mandate for tens of thousands of impacted ineligible aircraft. While our first quarter performance was strong, we recognized that demand for light business jets remains under pressure, and thus, we are cautious. We continue to look towards the future by investing in multiple business jet certifications slated for entry into service later in 2013 and beyond. In addition, we've introduced innovative new products for the experimental aircraft market and mobile applications that solidify Garmin's leadership in a broad range of solutions for general aviation. Outdoor segment revenues declined slightly in the seasonally weak first quarter. We also experienced some gross margin compression, as pricing declined slightly and product mix skewed towards low-end devices. Given that the first quarter is traditionally the weakest for the segment, we expect margins to improve for the remainder of the year. As we look at 2013, we continue to see significant opportunities for growth. There are new products that we'll be shipping throughout the year; ongoing market share gains in key categories, like golf, dog tracking and training; and ongoing expansion into new adjacent markets. Turning next to the Fitness segment. Revenue grew 2% on a year-over-year basis, as our new cycling products performed well in the marketplace. While this growth may appear lesser or less than expected, it's important to remember that the Fitness segment experienced 26% growth in the first quarter of 2012 with the launch of the Forerunner 910XT resulting in a challenging year-over-year comparison. During the quarter, we made significant enhancements to Garmin Connect with improved social features and training plan capabilities that enhance the utility and appeal of our online fitness portal. As we reflect on the fitness market, we remain excited about the opportunity as active lifestyles continue to gain popularity. To illustrate, Running USA estimates that participation in half marathon events in the U.S. increased by 15% in 2012, and the trend is expected to continue in the future. USA Triathlon reported a 20% increase in memberships in 2012, with a 10% increase in adult memberships and over 40% increase in youth memberships. These trends support our belief that the fitness market will continue to grow for many years to come. Finally, we anticipate entering new adjacent markets in the future. In particular, we are pleased with the progress our Vector power meter is making, which remains on track for delivery this summer. Finally, in Auto/Mobile, revenues were down 10%, with PND volumes declining as anticipated, partially offset by the amortization of previously deferred revenues and growth in our OEM product categories. Given that we entered 2013 expecting PND market declines, we are managing the business to this reality in order to ensure long-term profitability for this segment. Overall, our expectations for the PND category remain unchanged, with annual volumes down approximately 20% on a global basis. Our R&D efforts in this segment are focused on essential features that enhance the driving experience and building upon our success in the OEM market by providing superior integration of technologies with an intuitive user interface. One recent success to highlight is our announcement of the partnership with Mercedes-Benz. We will provide Garmin branded navigation solutions beginning in some 2014 models, with the expansion into additional models over the next 4 years. This software-based solution provides seamless integration with the entertainment system using the award-winning Garmin user interface. Our software system provides navigation information to the instrument cluster directly in front of the driver, which is known to reduce driver workload and distraction. Our system also includes the underlying engine providing location data for the advanced driver assistance functions that Mercedes-Benz will be offering in future models. This is an exciting partnership and highlights the success that our OEM team has achieved in gaining new business opportunities across the automotive brand spectrum. That concludes my formal remarks. Kevin will now provide a more detailed review of our financial performance for the quarter. Kevin?
Kevin S. Rauckman: Thanks, Cliff. Good morning, everyone. I'd like to begin by reviewing our income statement and segment results, then move to summary comments on the balance sheet, cash flow, taxes and guidance for the year. We posted revenue of $532 million for the quarter, with net income of $89 million. Our pro forma EPS was $0.40 per share excluding the foreign currency loss and tax benefits due to the release of reserves. Our revenue represents a decrease of 4% year-over-year. Gross margin came in at 52%, a 90 basis point improvement from prior year, driven by the benefit of deferred revenue amortization. Operating margin was 15%, down 120 basis points from the prior year. The components were the gross margin favorability of 90 bps, offset by an unfavorable operating expense impact of 210 basis points. Total operating expenses increased by $3 million in the current quarter, driven by an $8 million increase in research and development. Each of the operating expense categories will be discussed further on a later slide. Our pro forma EPS, which is adjusted for both foreign currency losses and tax benefits from the release of reserves, was $0.40, representing an 11% decrease year-over-year. And we shipped 2.5 million units during the quarter, which represents an 8% decrease year-over-year. The total company average selling price was $214 per unit, up from $205 in Q1 2012, driven primarily by the amortization of previously deferred revenue. Cliff has summarized the revenue change by segment, but I would just like to briefly highlight the charts on this page, which illustrates the Auto/Mobile segment representing less than 50% of our total revenue during Q1 2013, as both Aviation and Fitness grew in the quarter. Looking at profitability by segment, we have almost equal operating income contribution from each of our profitable segments in Q1 2013, with an offsetting loss in Marine. Due to the improved operating margin of Auto/Mobile in the current year, the operating income contribution of this segment increased to 25% from 20% in 2012. Aviation also contributed an increasing proportion of the operating profit in the current year due to revenue growth and improved margins. The Aviation segment contributed 26% in the current quarter compared to 19% in the prior year. I'd like to briefly discuss year-over-year margin changes. Gross margins improved by 90 basis points in the quarter, as both Auto/Mobile and Aviation margins improved. The Auto/Mobile improvement is attributable to the increased amortization of previously deferred high-margin revenue. Aviation gross margin improvement is primarily due to improving volumes and sales mix. Offsetting this improvement was a significant decline in Marine gross margin, as Cliff previously discussed. Operating margin decreased -- declined 120 basis points due to increased R&D spending in every segment. Marine was the most impacted, with a 24% increase in R&D leading to an operating loss in the quarter. And Outdoor operating margins also declined, driven by gross margin pressure caused by product mix and pricing, a 17% increase in R&D and a slight increase in SG&A based on expense allocations. As previously mentioned, Q1 operating expenses increased by $3 million on a year-over-year basis from $193 million in Q1 2012 to $196 million in Q1 of 2013 and increased 210 basis points as a percentage of sales. R&D was the only expense category that increased with the $8 million year-over-year impact. This represented a 220 basis point impact as a percent of sales to 16% of sales. We continue to invest in innovation and grow our engineering workforce. Our advertising spending decreased $2 million over the year-ago quarter and decreased 10 basis points as a percent of sales at 4% in Q1 2013. We will continue to scale our advertising expense to match our revenue trends. SG&A decreased $4 million compared to the year-ago quarter and remained steady at 16% of sales. The decrease is primarily attributable to legal fees. Instead of showing an eye chart with full balance sheet and cash flow statement, we just wanted to highlight a few items allowing you to reference the full statements in our press release. We ended the quarter with cash and marketable securities of over $2.7 billion. This is a decline from the end of 2012, as we paid both the December 31 and March 31 dividends in the quarter. Accounts receivable decreased sequentially to $451 million due to the seasonality of the first quarter. Accounts receivable accounted for 64 days of sales compared to 81 days of sales in the fourth quarter and 66 days of sales in the first quarter of 2012. Our inventory balance has increased slightly to $396 million on a sequential basis at the close of first quarter in preparation for the stronger seasonal period. Our days of inventory were 119 days compared to 117 in the fourth quarter of 2012 and 102 days in the first quarter of 2012. We do not currently show a dividend payable, as the $1.80 per share proposed by the board requires approval of our shareholders on June 7 at the annual meeting. We continued to generated free cash flow across our business, as cash from operations was $59 million during the first quarter. This was negatively impacted by a $41 million tax related prepayment that will be reimbursed in the second quarter. Our CapEx during Q1 was $12 million. Therefore, we generated free cash during the quarter of $48 million. This would have been $90 million without the tax prepayment. Financing activities were $174 million use of cash during Q1 due primarily to the dividend payments on December 31 and March 31. We expect our second quarter will show a significant lift in free cash generation. A few more highlights -- items to highlight during our Q1 results. Our recorded tax rate for Q1 was negative 8.6%. The favorability resulted from reserve releases associated with completed audits and the expiration of statutes in certain jurisdictions. Without this benefit, our tax rate would have been 11.6%. Also in the quarter, we recognized 2012 R&D tax credits due to the delayed enactment of applicable tax legislation. As we indicated in February, this credit was factored into our overall tax rate forecast for the year. We did not repurchase any shares in the first quarter, but we do intend to repurchase shares throughout the year. Finally, at this time, we are maintaining our full year guidance of $2.5 billion to $2.6 billion in revenue and $2.30 to $2.40 of pro forma EPS. As in prior years, we will update 2013 guidance by segment after the second quarter, which is a seasonally stronger quarter, providing a better preview for the back half of the year. This concludes our formal remarks. Operator, please open the line for Q&A.
Operator: [Operator Instructions] We'll take our first question from Mark Sue with RBC Capital Markets.
Mark Sue - RBC Capital Markets, LLC, Research Division: Kevin, if we consider the moving parts related to the segments, the better Aviation, the better, solid Fitness side, and then you had some weakness in the Marine and the slowing trends in Outdoor, how should we think about the full year EPS, the moving parts there? I know you're maintaining the outlook, but I would imagine that the higher-margin businesses are doing better, so -- and you're minding your expenses, so you probably have better clarity on the EPS at this point?
Kevin S. Rauckman: Mark, we had a little bit of trouble understanding you, but I think what you're asking about is the EPS trends for the rest of the year. As we've said, Q1 is our seasonally weakest period, and so as we go into Q2, we're expecting both growth and operating margin to increase as we go into Q2 and then through the remainder of the year until we get into the holiday season. So at this point, as we've stated, our earnings per share target of $2.30 to $2.40 is still intact.
Mark Sue - RBC Capital Markets, LLC, Research Division: Okay, that's helpful. And then as we think about the cash flow, any reason to think that the bracket for the cash flow generation for the calendar 2013 may be dramatically different from what we saw last year? Just to kind of moving parts, I would imagine that your CapEx is still very low and you're still seeing very good cash flow generation?
Kevin S. Rauckman: Yes. The earlier expectation on free cash flow is somewhere around $525 million for the year, which is lower than 2012. But as you pointed out, our CapEx is still expected to be in the range of about $40 million for the year, and that's in line with what we saw in Q1 as a seasonal rate.
Mark Sue - RBC Capital Markets, LLC, Research Division: Okay, that's helpful. One last question. Conceptually, if you think longer-term, in a few years out down the road for Garmin, is there any new category that's in early development, or is what we see what we get for the foreseeable future? Just trying to think as we see some maturation of the core business, you're seeing growth in some other segments, but if there's anything else in the horizon that you can invest in.
Clifton A. Pemble: Mark, as has been our history, we continue to work on new applications in new adjacent markets for GPS. We're unable to share details of those at this time, but we do have some innovations that we continually work on and we'll continue to do in the future.
Operator: We'll take our next question from Yair Reiner from Oppenheimer.
Yair Reiner - Oppenheimer & Co. Inc., Research Division: So first, I think you had a little bit less disclosure about the deferred revenue. According to my math, that is about $22 million to revenue and about $0.07 to EPS. Is that the right way to think about it?
Kevin S. Rauckman: Yes, we have elected to -- now that we're in a period where deferred revenues are a positive. We did have a positive benefit. And those numbers are pretty close. We're actually looking at about an $0.08 EPS impact from Q1.
Yair Reiner - Oppenheimer & Co. Inc., Research Division: Okay, great. And then a question about the fitness market. I understand that you're facing difficult comps this quarter. But I guess in general, there's a little bit of a delta between some of the market indicators that you cited in terms of growth and the more moderate growth that you've been experiencing. So I guess the question is, what have you seen in terms of competition both from direct competitors like TomTom and also from adjacent devices like smartphones? And how do you see kind of the R&D that's going to be required in that segment to stay competitive going forward?
Clifton A. Pemble: Well, we do see more competitors entering the market. You mentioned one of those specific cases, and there are definitely more. We -- you mentioned the statistics that we cited, which is true that there is a big increase in fitness-related activities. And I think generally, we've been seeing that reflected in our business. Last year, we did have the big boost from the 910, which reflects that upper-end market that I was talking about. And our Forerunner 10 has also been doing very well in the marketplace, but it's lower ASP, so it's more difficult to generate the revenue increases. But in general, we feel good about our positioning in the market, and we continue to work to expand the market both at the top-end and the low-end.
Operator: We'll take our next question from Simona Jankowski with Goldman Sachs.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: Can I just -- give us your view of what you think the market did in PNDs in the first quarter, and how you think your market share did?
Clifton A. Pemble: Well, we think that the market continues to decline pretty much in line with expectations that we have, which was down on a global basis about 20%. We saw that, and reflected in the U.S. figures and in Europe, the figures are lagging a little bit behind, so we don't have precise details on those. But in general, we feel like it's performed about what we expected.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: And from a market share perspective?
Clifton A. Pemble: Market share in North America, we grew our share quarter-over-quarter 6 points. So from last year Q1, it was 64%, and this year, it was 70%.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: Okay. And then within the PND segment, you typically have an ASP increase in the first quarter, just following the discounting in the holiday quarter. Was that the case this time as well?
Kevin S. Rauckman: Actually, we have the deferred revenue benefit that if you strip that out, our PND pricing came down in single digits in Q1. So from a sequential basis, we saw an increase, but year-over-year, it was down in single digits.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: Sure. And again, just stripping out the benefit from deferred, we calculate about a 200 basis point decline in gross margin in the PND business on a sequential basis. So I'm just kind of trying to square that with the sequential increase in ASPs. It would seem that the cost per device would have gone up, but I just wasn't sure why that would be.
Kevin S. Rauckman: No, I don't think the costs have actually increased at all. I think we're expecting overall costs during the year to be down in single digits, around 3%. So I think we may need to take that offline to see what you're looking at on the change in both cost and gross margin on PND.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: Okay. And then just lastly, on the auto OEM business. If you can update us on whether that's approaching EBIT breakeven at this point, and also if you still expect any potential infotainment wins for the 2014 model.
Kevin S. Rauckman: So the first point on auto OEM, we did see an increase on the sales during Q1 as a part of our overall Auto/Mobile segment. From an EBIT positive, we're not at that point, so we're still investing very heavily on the R&D to -- for future infotainment wins. And Cliff identified the Daimler-Mercedes-Benz relationship that we will have to wait on future announcements when they become available.
Operator: We'll take our next question from John Bright with Avondale Partners.
John F. Bright - Avondale Partners, LLC, Research Division: Following up on the OEM discussion and Mercedes-Benz. You mentioned that this is a navigation software. Was hardware potentially part of this? And if so, you didn't win that, why not?
Clifton A. Pemble: No. The program that we were competing for was strictly a software-based program.
John F. Bright - Avondale Partners, LLC, Research Division: Who did you win the business from?
Clifton A. Pemble: Well, I think they've had many solutions in the past, driven mostly by the suppliers that they've selected in-house solutions. So this is a solution now that they're going with a branded navigation from Garmin.
John F. Bright - Avondale Partners, LLC, Research Division: On the Aviation side, in the prepared text, you mentioned numerous business jet certifications slated for completion in the months ahead. Can you give us some more detail there, who, maybe the size of the opportunity?
Clifton A. Pemble: Well, we've talked about those in the past, but I think that the players are well-known. We've got the Learjet 70 and 75, as well as the Citation Sovereign and the Citation 10 that's coming this year. And then there's new models, the M2, the Latitude and others coming in the future.
John F. Bright - Avondale Partners, LLC, Research Division: And then lastly -- well, actually 2 more. One on the Marine side, also in the prepared text, I think you talked about innovation forthcoming in glass helms, maybe a timeframe on that?
Clifton A. Pemble: As I mentioned in my remarks, we'll be shipping that product this month.
John F. Bright - Avondale Partners, LLC, Research Division: And then, I guess, the last question probably would be for Kevin. Kevin, the -- you managed your advertising and SG&A well. Talk about the factors to doing that and the sustainability.
Kevin S. Rauckman: I think we're sensitive to being able to maintain a strong operating margin, so we've been able to scale advertising as a percentage of sales, and we're still expecting that to be around 5% for the full year. SG&A, we had some benefit on administrative costs. And I think as we go through the year, we'll be able to sustain that as well to manage those expenses. We're very sensitive to not growing that during the year as we go through 2013.
Operator: We'll take our next question from Brad Erickson with Pacific Crest Securities.
Brad Erickson: Just a couple. First, in terms of replacement rates as it pertains to the Outdoor and Fitness business specifically. Can you kind of talk about what you've been seeing there and how you expect that to develop going forward?
Clifton A. Pemble: Well, they typically tend to be driven by product releases and innovation, so it's probably longer than like the PND market would be, but probably in the range of 2 to 4 years.
Brad Erickson: Has that changed at all recently, or are you expecting any change in that going forward?
Clifton A. Pemble: Don't expect any change in that.
Brad Erickson: Okay. And then on the Aviation side of the business. I think you guys had always anticipated that, that would be somewhat back-end weighted, and I know you don't want to update any specific guidance. But can you give us any sense of how you're feeling about your targets for the Aviation segment for 2013?
Clifton A. Pemble: I think we stand by our estimates that we gave there.
Brad Erickson: Fair enough. And then on the Marine side, I won't go at it from, I guess, the same direction, but obviously, that business got off to a little bit of a slow start, and you talked about the muted part of the early buying season. Can you kind of talk about what you need to do to get caught up there or what has to happen in order for that to occur?
Clifton A. Pemble: I think specifically, we need to get our new products to market, which we're doing. Some of the new 2013 line has already launched and is in the market. And then, as I mentioned, our biggest contributor, the 8000 series will be launching this month. So we have to execute on those. We are waiting to see, in terms of the full year, how things go here in Q2. As you pointed out and as we mentioned in our remarks, the market has been somewhat muted due to the weather and the economy. And so we're hopeful that we can, with the delivery of our new products, make up some of the lost ground that we've lost here recently.
Brad Erickson: Great, that's helpful. And then finally, just on the cash flow from ops being obviously a bit lower, you commented on the prepaid expense for the taxes. Can you kind of go and give us any color on any of the other puts and takes there, and kind of why there was so much more movement this year than years past?
Kevin S. Rauckman: I think in addition to that, we had some other prepayments during the period that impacted us. And I think if you at look at deferred revenue that was -- from a cash perspective year-over-year was actually a negative. So if you take that into account, if you look at Q1 2012 to Q1 2013, we were actually on even ground, it's not a little bit higher, factoring in those adjustments for free cash flow.
Operator: And we'll take our next question from Paul Coster with JPMorgan.
Paul Coster - JP Morgan Chase & Co, Research Division: Kevin, with respect to the full year guidance, what do you estimate the deferred add-back on revenue and the impact on EPS would be for the full year?
Kevin S. Rauckman: Well, we were expecting it will be positive. And I think if you look at just the seasonality, we had most of that benefit in Q1, so I think it'll be pretty nominal as we go into Q2 and Q3. And then at this point, we're expecting just a small negative hit actually in Q4. So for the full year, positive but not that much different than what we saw in Q1.
Paul Coster - JP Morgan Chase & Co, Research Division: All right, got it. I know that for several years now, you've expected that the traditional business, the growth therein, which is a little bit more subdued at the moment than we'd expected, would eventually outweigh the decline in the PND business and the overall company would return to growth. Are you in a position to make a call as to when you think that inflection point is going to take place?
Kevin S. Rauckman: I don't think we're in a position now other than we're optimistic on the Outdoor, the Fitness, the Aviation business. Absolutely, Aviation performed very well during Q1. If you look at the overall trends, I think we're still expecting that we'll get to a point where we have to do that -- to the point where we can say when that will occur.
Paul Coster - JP Morgan Chase & Co, Research Division: Is there any market research you've done recently that has changed your view as to where the PND market stabilizes in terms of unit volumes in the developed nations?
Clifton A. Pemble: I think over the years, the market research has repeatedly called the PND market wrong both on the upside, as well as on the downside. So I don't think there's any crystal ball for that. But we're managing the business to what we think -- this year is the reality, which is down 20%.
Operator: We'll take our next question from Ben Bollin with Cleveland Research.
Benjamin James Bollin - Cleveland Research Company: I had a couple of questions. The first one, looking at the Marine business. A lot of gross margin pressure there on some pricing actions. Can you talk a little bit if those were preemptive pricing actions to clear out inventory, was it reactionary? And how was that split between OEM versus aftermarket customers?
Clifton A. Pemble: I think it's really more surrounding the launch of our products, so it's really preemptive in clearing the channel from existing inventory. I think OEM and retail pricing tend to follow the same trends, so I don't think there is anything material in OEM that would differ from retail in terms of the trend.
Benjamin James Bollin - Cleveland Research Company: Okay. Another item, looking at this auto OEM opportunity. Could you walk us through how you look at the dollar content per vehicle and then longer-term how you view the total adjustable market developing?
Clifton A. Pemble: Well, I think the dollar content per vehicle is extremely high if you consider every kind of electronic that's in the vehicle. Naturally, there's certain areas where we can play, and the number of players in the spaces where we have confidence is high. So at this point, we're really in a building mode. We're gaining credibility and winning opportunities in order to try to bring the business to a sustainable point.
Benjamin James Bollin - Cleveland Research Company: Okay, got it. And the last question, all sorts of stories and rumors about looming competition from smart watches. I'm curious as to how you look at the potential impact of competition, what you're doing now to mitigate all these vendors that are potentially coming into this market.
Clifton A. Pemble: Well, I think there's probably 10 stories today on smart watches, so the rumors are definitely rampant out there. We believe that the kinds of markets that we serve with the kinds of products that we design are specifically what our customers want for the activities that they have. I think a lot of the examples that we've seen, again, they're all just speculation, but they aren't really products that you could do some of the activities and have the utility that we have in our products. So we're continuing to innovate and respond with anticipation for where the market will go. But at this point, they're mostly just rumors, and there's not a lot we can comment on.
Operator: We'll take our next question from Charlie Anderson with Dougherty & Company.
Charles L. Anderson - Dougherty & Company LLC, Research Division: I wanted to hone in on Outdoor, the margin being a little weak in Q1, and you talked about it improving. I wonder if you could talk about which products are going to allow you to do that. And is that sort of a high-end dynamic, mid-range, low-end? Any color there would be helpful.
Clifton A. Pemble: Yes, the -- in Q2, we'll be releasing our new Oregon series, which should help improve some of the gross margins. And one of the factors we mentioned in the comments was the shift to lower-end devices. We think the Oregon series will help us move towards more of the higher-end mix. Also, we did start to deliver our fenix watch again in the quarter, and we should be doing more of that in Q2, so that will also help.
Charles L. Anderson - Dougherty & Company LLC, Research Division: And then on the buyback. I wanted to ask -- you didn't buy back anything in the quarter. I think your guidance for the full year implied some buyback, and you said you intend to do some in the year. I wondered if there's anything sort of structurally or, call it, back office holding you back in Q1, or if it was just an opportunistic thing?
Kevin S. Rauckman: Not really. It's more opportunistic. And we realized that Q1 is our seasonally weakest quarter. So we had very few days actually to be in the market outside of the blackout period, so we like to just to wait until we got into Q2 to be -- again, to be more opportunistic in the buyback.
Charles L. Anderson - Dougherty & Company LLC, Research Division: Great. And then just a big picture question. We're seeing lots of investments called venture investment in devices that use sensors other than GPS called accelerometers, gyros and then if you move over navigation, LIDAR-type sensors for self-driving cars, those sorts of things. I wonder just sort of long-term how you view your play as it relates to GPS versus other sensors, if we're going to see a shift over time to more investments in some of those other categories utilizing those other sensors.
Kevin S. Rauckman: There's no question that some of those other sensors are getting a lot of attention, and there's a lot of activity around how to utilize those in the vehicle. We strongly believe that GPS will always play a strong role in whatever navigation solutions are in the vehicle because inertial sensors alone aren't sufficient to be able to guide the vehicle and accomplish what drivers want to do. So we still believe strongly in that. And at the same time, we have our own expertise in the area of inertial sensors on many of our product lines that include accelerometers and gyros and things like that.
Operator: We'll take our next question from Jonathan Ho with William Blair.
Jonathan Ho - William Blair & Company L.L.C., Research Division: Just starting out with the Marine segment, I just wanted to see if you guys have seen any change in the competitive environment, particularly new entrants into the freshwater market or potentially maybe some resurgence from some legacy players that are under new management?
Clifton A. Pemble: Yes, we don't really see any impact from new players at this moment. I think there's basically a group of 3, particularly in the North American market, and probably 4 in the international market that continue to compete together. And the market, as we view it, is somewhat capped and limited. So that is a game of trading market share through product innovation and winning customers.
Jonathan Ho - William Blair & Company L.L.C., Research Division: And then in terms of the seasonality pattern for the year, are you guys still thinking about this as being fairly similar to last year, or how should we think about seasonality from that perspective?
Kevin S. Rauckman: Yes, we don't see any major trends. We would expect, as we mentioned, a Q2 uptick in seasonality due to spring buying and then as we get into Q4, clearly, still expect a holiday buy. I think the impact on magnitude is probably less, but we saw that last year as well. So again, Q2 is stronger, and then Q4 is the strongest seasonality during the year.
Jonathan Ho - William Blair & Company L.L.C., Research Division: Got it. And just one last question in terms of the Mercedes-Benz deal. Just wanted to understand from a reputation standpoint if this is a really significant milestone, or should we just think about it as sort of a step-function improvement in terms of your ability to compete in the OEM segment?
Clifton A. Pemble: Well, I think it's safe to say that Mercedes-Benz is an iconic nameplate in the automotive industry, and they're known for their particular quality and reputation. And so we view it as a very significant milestone and something that we attribute to the strength of our brand, as well the ease-of-use of our operating system.
Jonathan Ho - William Blair & Company L.L.C., Research Division: Got it. And just finally, on the Mercedes deal. How should we think about the margins that are associated with the deal just given that it's more software-oriented relative to the other portions of the Auto [indiscernible] business?
Kevin S. Rauckman: So we haven't commented on specific margins other than that, I would say, they're in line on our auto OEM business similar to what we have in PND. So the overall Auto/Mobile segment margins shouldn't be impacted materially due to this deal.
Operator: We'll take our next question from Andrew Spinola with Wells Fargo.
Andrew Spinola - Wells Fargo Securities, LLC, Research Division: In mid-March, you guys filed an 8-K relevant to the Lear 70 and 75 opportunity, and there were some delays there, and a sort of interest-free loan that you had to make the Bombardier. Can you give us some color around what happened there, how things stand now, and whether you think you'll recognize some revenue in 2013 from those platforms?
Clifton A. Pemble: Yes, so that situation was surrounding some delays in the program that were impacting Lear's ability to ramp up their production. And so as part of our partnership, we did agree to provide a free cash flow bridge for them to be able to do that. We're tracking to plan in terms of the terms of that and the program in general so that we can start the repayment cycle. And in terms of revenue recognition, yes, we have been recognizing some of that as they've been starting to spend on their production line.
Andrew Spinola - Wells Fargo Securities, LLC, Research Division: Got it. And then you made the comment earlier about continuing to heavily invest in the auto OEM platform, and I'm just trying to think about what that might mean. Because if I think about the K2, you developed that essentially, to the best of our knowledge, on spec. You built it, now you're out there, I suppose, selling it. And given where you are with that platform developed, what would be the spending going forward? Are you adding new capabilities to the K2? Or is it specific spending related to opportunities or RFPs? And also, when you talk about heavy investment, you're talking about sort of similar levels on an absolute, or do you see those levels growing in dollars?
Clifton A. Pemble: I think in general from where we are today, they're growing -- our levels of investment will continue to grow year-over-year, but we're flattening that peak now as we kind of see the level of business that we have there. In terms of K2, we're continuing to develop features and be able to showcase the system for opportunities that are being vetted to us through RFPs and the like. So in general, I would say, it's more incremental work at this point.
Andrew Spinola - Wells Fargo Securities, LLC, Research Division: And just lastly, would you say that given your recent win with Mercedes and with the K2 and the Suzuki product in production, I know you can't give us sort of wins, but do you feel like you've -- your traction in this market is improving? And that's it for me.
Clifton A. Pemble: Well, I think all of the things that you mentioned are significant milestones, becoming a Tier 1 supplier on a hardware infotainment system, winning an opportunity like Mercedes with an incredibly respected nameplate in the market. So we believe we've been making steady progress. As we've been saying in the past, the progress is slow because this industry is a slow-moving industry. But in general, I think we're pleased with where we're at.
Operator: We'll take our next question from Ron Epstein with Bank of America.
Kristine T. Liwag - BofA Merrill Lynch, Research Division: It's actually Kristine Liwag calling in for Ron. On Aviation, Cessna citation's kind of your first Part 25 aircraft. Is there anything about the FAA certification process that may have surprised you so far?
Clifton A. Pemble: I don't think anything has surprised us. I think every time you move up a level of certification complexity, there's more work involved, and there's some learning process that goes on with that. But in general, I think it was along the lines of our expectations. I would point out that one of our previous programs, the Phenom 300 was a Part 23, it was called Fast 4, which is actually in terms of requirements very close to Part 25, so we did have some previous experience as well with that level of rigor.
Kristine T. Liwag - BofA Merrill Lynch, Research Division: Sure. And then it seems like there's a possible refresh opportunity in the horizon with Gulfstream as they kind of look at the G450, G550. Can you kind of talk about your capabilities with regards to pursuing large cabin business jet platforms?
Clifton A. Pemble: Well, we think our G5000 system is well positioned to be able to compete in the large cabin -- larger business jet market. So at this point, we feel pretty good about where we're at. And as we get some of these certifications under our belt, I think we'll be in a good position to compete on future programs.
Operator: And we'll take our last question from Yair Reiner from Oppenheimer.
Yair Reiner - Oppenheimer & Co. Inc., Research Division: I just wanted to follow up on Aviation. You had a very strong quarter there. I was wondering, was there any impact there from maybe some inventory build at the OEMs ahead of the entering to service, or should we think about that $80 million you had in the first quarter as the new base rate from which we'll actually see some growth as production begins to ramp on these new platforms?
Clifton A. Pemble: Well, we feel good about where we are in Aviation right now. In terms of the Q1 results, we mentioned 3 factors: one was new platforms, the other was helicopter and the third was the reemergence of HBC from bankruptcy. And pretty much we felt like the improvement was spread evenly amongst all of those different causes. So we think going forward, we should continue to be growing, and we feel good about our estimates for the year.
Operator: And we have no further questions over the phone at this time.
Kevin S. Rauckman: Okay, so thanks again everyone for your contribution, for your interest in Garmin. We look forward to progressing throughout the year, and we'll update you for the 2013 as we conclude Q2. So thanks again.
Operator: This does conclude today's conference. We thank you for your participation.